Operator: Good morning. My name is Arnika and I will be your conference operator today. At this time, I would like to welcome everyone to the Koppers Holdings First Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions). Thank you. Mr. Snyder, you may begin your conference.
Mike Snyder - Director of Investor Relations: (Inaudible) 412-227-2444 and we can either fax or email you a copy. Before we get started I would like to remind all of you that certain comments made during this conference call may be characterized as forward-looking under the Private Securities Litigation Reform Act of 1995. These forward-looking statements may be affected by certain risks and uncertainties including risks described in the Company’s filings with the Securities and Exchange Commission. In light of the significant uncertainties inherent in the forward-looking statements included in the Company’s comments, you should not regard the inclusion of such information as a representation that has objectives, plans and projected results will be achieved. The Company’s actual results could differ materially from such forward-looking statements. I am joined on this morning’s call by Walt Turner, President and CEO of Koppers and Brian McCurrie, Vice President and CFO. At this time, I would like to turn over the call over to Walt Turner.
Walter Turner - President and Chief Executive Officer: Thank you Mike; and welcome everyone again to our 2008 first quarter conference call. Before we review our first quarter results, I would like to take a minute to talk about a recent change regarding our board of directors for those of you who haven’t yet seen our press release or our proxy statement our non executive chairman of the board Bob Cizik announced his retirement at yesterday’s board meeting as expected. Bob has been on the board since 1999 and has been very instrumental in the company’s successes. I want to sincerely thank Bob for his many contributions in bringing Koppers to where it is today. Our current Board Member David Hillenbrand has been named as the new chairman and I am pleased to be able to continue working with David and looking forward to his continuing efforts on behalf of Koppers. David, who is currently the President of the Museum here in Pittsburgh has been on the Board since 1999 and also has significant chemical industry experience including the position of Executive Vice President with Bayer prior to his retirement in 2003. Now let’s talk about the first quarter. I was very pleased to see the momentum from 2007 continue into the first quarter 2008. When compared to the first quarter of 2007, our sales increased 13% to $348 million adjusted EBITDA grew 10% to $39 million and our diluted earnings per share increased 26% to $0.63 compared to $0.50 in the first quarter of 2007. We saw particularly strong revenue growth outside the US with sales growing by 40% over the prior year quarter and comprising 40% of our total sales in the company. During the first quarter, we continue to benefit from the positive fundamentals in our core end markets of aluminum, rubber, and construction which more than offset what we believed to be a temporary reduction in white tie purchases for the Class I railroads. We’ve seen consistent demand in our end markets for carbon materials and chemicals and see this continuing through 2008 and even more or so into 2009 with new tar distillation capacity coming online to meet the demand of the new smelters in the Middle East. Wood tie insertions by the Class I railroads have continued at rates seen in 2007, however, prior year purchases of ties have turned above that rate leading to inventory balancing by the railroads. We expect that the class I railroads will increase buying and treatment services as well beginning in the third quarter and continuing through the end of the year. We do expect tie insertions to continue at recent levels. In our global carbon materials and chemical segment, first quarter 2008 sales increased 28% to $239 million as volumes increased 12% primarily as result of higher sales of carbon pitch, carbon black, and phthalic anhydride. Average prices in the quarter increased 9% due to the higher sales prices for carbon materials products and distillates primarily as a result of higher raw material costs and prior contract pricing. Overall, volumes for chemical products remained strong driven by higher volume for phthalic anhydride. Sales outside North America were also particularly strong with total revenues up 20% over the prior year quarter. Sales of railroad utility products in the first quarters were $109 million a decrease of 10% from the first quarter 2007 driven primarily by lower volumes of untreated cross ties due to the purchasing reduction by some of the Class I railroads. On the positive note, the commercial tie business and the export business remained very robust. We believe there was some opportunistic buying by the Class I railroads in advance of 2008 requirement that is at least partially responsible for the reductions in the first quarter. Again, we anticipate that these volumes will increase as the year progresses as inventories are replenished to meet 2009 tie insertion requirements. Our long-term outlook remains very strong for this segment and tie insertions continue with high level. Average operating margins did decrease to 6.6% from 10.5% in the quarter due to the volume declines also coupled with higher allocated SG&A expenses with reduced margins by 1.4%. After Brian completes the financial review, I’ll give you a status of our update of our core end markets as well as provide some insight into what we are expecting for the balance of 2008. Brian.
Brian McCurrie - Vice President and Chief Financial Officer: Thank you, Walt. Sales for the first quarter increased 12.6% to $347.5 million as compared to $308.6 million for the prior year’s quarter. Increase in sales was a result of higher sales in the carbon materials and chemical segment which increased 27.6% or $51.6 million, which more than offset lower sales in the railroad and utility segment which decreased 10.5% or $12.7 million. The first quarter sales increase in the carbon materials and chemicals segment was due primarily to an 11% or $21 million increase in sales of carbon materials, a 5% or $10.2 million increase in sales of distillates, a 3% or $6.5 million increase in sales of coal tar chemicals, and a 7% or $13.8 million increase in sales of other products. First quarter carbon materials sales were positively impacted by $8.9 million to the higher volumes of carbon pitch sales and $7 million due to the price increases attributable primarily to higher raw material costs and higher contract pricing. Sales of distillates were positively impacted by higher volumes amounting to $1.6 million and higher prices totaling $6.7 million. Benchmark pricing was affected by an increase of nearly 70% in average oil prices from the first quarter of 2007 to the first quarter of 2008. Sales of coal tar chemicals were positively impacted by higher volumes and prices for phthalic anhydride that contributed increased sales of $5.7 million. Overall, carbon materials and chemicals sales in the quarter were positively impacted by 6% or $12 million due to foreign exchange. Sales of railroad and utility products decreased 10% in the first quarter to $108.7 million. Approximately $10 million of this decrease was due to reduced sales of treated and untreated cross ties as several of our Class I customers produce their requirements in the first quarter. We believe this is partly in effort to reduce inventories. We have had indications that their tie purchasing programs will be back loaded into the second half of the year after railroad inventory levels are normalized to maintain current tie replacement programs. As Walt mentioned, we did see continuing strength in the commercial ties and export markets. On a consolidated basis, first quarter EBITDA increased 10.1% to $39.2 million compared to first quarter 2007 EBITDA of $35.6 million. EBITDA margin dollars were positively impacted by higher volumes and prices. For most product lines in the carbon materials and chemicals segment which more than offset the reduction in profit in railroad and utility products. Net income for the first quarter was $13.2 million compared to net income of $10.5 million in the first quarter of 2007. Diluted EPS for the first quarter was $0.63 per share compared to $0.50 per share in 2007. Total debt at March 31, 2008, was $445 million compared to $440 million at December 31, 2007, reflecting seasonal borrowings for working capital as a result of higher sales coupled with inventory increases going into our highest sales quarters. On an LTM basis our debt to adjusted EBITDA ratio is 2.5 times. For year 2008, we anticipate debt reduction of approximately $47 million before accretion of $17 million for a net reduction in debt of $30 million. Capital expenditures for the quarter were $4.4 million compared to $4.8 million in 2007. Estimated CapEx for the year 2008 is $35 million and includes JV investments and plant expansions in China. Before I turn it back over to Walt I would like to emphasize that our business is seasonally impacted by demand for products. The financial performance in the first and fourth quarter is historically lower than our second and third quarter run rates. We saw this trend continuing in the first quarter of 2008. Additionally, we anticipate that our profitability in our two strongest quarters this year will be more heavily weighted towards the third quarter than the second quarter as pricing formulas for some of our carbon pitch customers will be reset beginning in the third quarter allowing us to more fully recover cost increases we have seen in coal tar this year and the Class I railroad volumes rebound. At this time, I would like to turn it back over to Walt.
Walter Turner - President and Chief Executive Officer: Thanks Brian. In regard to our core end markets global aluminum smelting capacity was expected to grow by 17% through 2009 with new projects coming online in Oman, Qatar, and the United Emirates in the Middle East before 2011. In order to meet this growing global demand for our pitch products, we have increased raw material sourcing in Russia and Easter Europe and we are in the process of building new tar distillation capacity as well as increasing our existing capacity in China. As these new smelters come online over the next several years, we anticipate adding additional distillation capacity in China to meet this increased demand. In addition, we have continued our efforts in both China and Russia to convert these markets to our standard pitch products based on the benefits realized by the conversion of Western smelters decades ago. This is a long term process but the benefits of converting these markets can lead to accelerated growth for Koppers. To support this process we are adding chemical resources in China to work more closely with the Chinese and the Russian smelters who will use our products. Although, we have seen a temporary slow down in our US based railroad business as railroad inventories are reduced inline with tie insertions we have seen our sales outside the US which account for 40% of our total sales remained quite robust with first quarter sales increasing 40% helped by higher prices, strong demand and foreign exchange rate. Raw material pricing for carbon materials and chemicals particularly in North America have increased in 2008 due to the increased oil prices during the second half of 2007. Due to our contract terms for carbon pitch and higher benchmark pricing for our downstream chemical product, we will continue to recover these increased costs through the year but only fully realize that the coal tar cost increases for some customers beginning in the third quarter. I expect North American Class I railroad demand for cross ties in 2008 to be more back loaded in the second half of this year as the railroads work down their inventories to program level. On a positive note, insertions of wood cross ties remained at level seen in 2007, which reaffirms I believe the fundamental strength of this market. We have found increasing interest on exports of railroad ties primarily to support mining projects in Africa and South America. The example, we recently ended in one agreement with world’s largest steel company to supply approximately 360,000 ties to mining expansion projects in Africa. Despite a slow start in 2008, we remained very optimistic about this business and see the North American railroads continuing to invest in their infrastructures in 2008 and over the long term. Demand for carbon black feedstock, a raw material used in the production of carbon black for the rubber industry and naphthalene, which is used as a concrete additive and also in die steps remained very strong. Demand for these products is primarily driven by growth in the Asian economies and contributes significantly to our profitability in our European and Asian operations that supply these markets. Carbon black feedstocks are generally priced off with benchmark oil index, which has resulted in higher selling prices in 2008. We continue to be excited regarding our capacity expansions in China, which will amount to an increase in distillation capacity of about 350,000 metric tones of coal tar. The expansion of the plant in our existing joint venture and the construction of the plant for our new joint venture continued to move toward completion by year end. I am pleased to tell you that production levels at our Australian carbon black facility were near capacity in the first quarter which resulted in a significant contribution to our first quarter results. We expect the profit contribution that lagged in 2007 to be fully realized in 2008. Now I would like to talk about our outlook for the rest of 208. I am certainly pleased that the results are above expectations and fully expect that trend to continue through the year and into 2009. However at this point, we are not yet adjusting our annual guidance that sales will increase between 5% and 8%, adjusted EBITDA growing between 6% and 9% and that our earnings per share will increase between 10% and 30%. We remain very positive about the long-term strength of our primary end markets, aluminum, and railroads and excited about the new distillation capacity in China that will come online in 2009, which reflects our optimism about the continuing global growth in aluminum demand. We look forward to the opportunities in 2008 and beyond. At this time, I would like to open the conference call up for any questions that you may have.
Operator: (Operator instructions). The first question comes from Ivan Marcuse with KeyBanc.
Ivan Marcuse: Hi guys, how are you doing?
Walter Turner: Good morning, Ivan.
Ivan Marcuse: In the first quarter, did you in a current materials segment did you receive may we get some orders in the first quarter that you are expecting that may be received in the second quarter due to lumpiness that’s why there was such huge improvement year-over-year specially if there is going to be a pricing lag?
Walter Turner: I don’t think necessarily, no. It’s the combination of I think volumes did increase in the total Carbon Materials and Chemicals group as well as we mentioned raw material increases but also through pricing increases under contracts that helped that growth. But as we go forward as you well know the Carbon Materials and Chemicals is very much a global business and as I mentioned 40% of our revenues were offshore during that first quarter.
Brian McCurrie: And Ivan I think one of the big drivers in volume, but certainly in carbon pitch was Alcoa Iceland smelter. That certainly contributed to volume fairly significantly. I think the only product that we have has little bit of advance buying could be phthalic because of the run-up in Ox, but it really hasn’t been significant.
Ivan Marcuse: Okay, great. Then looking at the second quarter it appears it’s going to switching to the railroad that you are looking for maybe little bit more recovery from end volume and demand from the commercial in the third quarter. So, in the second quarter are you would you expect railroad revenues to maybe be down inline with what it was in the first quarter or am missing something?
Brian McCurrie: I think in the first quarter there is a lot of noise impacting the first quarter including weather and the ability to get raw material out of the woods, particularly flooding in the lower Midwest I think --
Ivan Marcuse: Right.
Brian McCurrie: -- really impacted us. We still expect our normal ramp up in this business into the second quarter, I think what you are seeing and hearing us say is that we think some of that may shift potentially into the third quarter.
Walter Turner: And then for sure as Brian said, when you look at first quarter this year versus first quarter last year, the weather conditions were much more severe here in the US.
Ivan Marcuse: Got you. And then one of the questions is you exceeded expectations in this quarter, you fully expect to exceed as you said, expect to continue the momentum going forward what’s concerning you in the second or third or fourth quarter that’s giving you maybe little bit reservation on upping your guidance?
Brian McCurrie: I do not think you really seeing reservation. I think we actually did this last year. Because our business is seasonal and the profitability concentrate so much in the second and third quarter we really just want to wait until we get into the second quarter so we can get better guidance.
Ivan Marcuse: Great. And then one last question is your interest expense went down a little bit. Was that just a subject of you have more cash or are you have do you have some variable rates in some of your debt?
Brian McCurrie: We have variable rates in our bank debt bank debt although we don’t have that much bank debt. So some of it is a function of lower debt but it also some lower interest rates.
Ivan Marcuse: Great, I will jump back in the queue. Thanks.
Brian McCurrie: Thanks Ivan.
Operator: Your next question comes from Chris Shaw with UBS.
Chris Shaw: Good morning how you guys are doing?
Walter Turner: Good morning, Chris.
Chris Shaw: I guess looking at rail again, if there is -- I guess if you expect some of the first quarter white tie volumes I guess is affected by the weather and then you sort take out some inventory correction, would you expect that two offset each other, I mean, I am trying to get just an idea what 2Q is going to look like?
Brian McCurrie: Second quarter normally is going to be up over first quarter in this business. I mean there is that much of a seasonal impact.
Chris Shaw: Right.
Brian McCurrie: So, I don’t know a bit it is certainly not enough to change that outlook in the business.
Chris Shaw: I mean, was the volumes you lost because of weather on white ties that significant?
Brian McCurrie: Because of weather?
Chris Shaw: Yes, because of weather sir or flooding or --?
Brian McCurrie: Yeah, I think the timing was certainly significant.
Chris Shaw: And that’s getting first to 2Q probably?
Brian McCurrie: Yeah that means I don’t mistake that something I think we did see the railroads across when railroads reducing of inventory levels. So, I don’t want to mislead you guys, I think that is the weather phenomenon and we do have some reductions in buying because of the railroads wanting to lower their inventories. Now I think, as Walt mentioned the positive aspect is the tie insertions which means the ultimate end demand for these is still remain and quite strong. So it really is a temporary thing, it’s a matter of time.
Walter Turner: I think that is the real key. You have to understand that this is definitely maintenance related tie insertions are still at the same levels of 2007 and also I think if you saw the first quarter I think in the railroads I think at least all but maybe one of the Class I railroads had what I thought was a very strong financial report for that first quarter. So, the wood ties were selling at least 90%, 92% of those ties are going in for maintenance and going in for tie insertions. And the volumes, the volumes are up as well. So, it is maintenance related the railroad is going to continue to maintain those railroad lines.
Chris Shaw: Now, what do think, guys, happened in 2007 did they build inventory I mean the insertion levels are the same in 2007 and 2008 where they just they are going to do more than that or that it ended up with too much inventory that is miss purchased?
Brian McCurrie: Chris, I think you have been with us for quite a while and you have heard us talk pretty consistently that we always believe that the volume increases that we were seeing were not sustainable based on what we saw as the normal growth rates in tie insertions.
Chris Shaw: Right.
Brian McCurrie: So I think that’s what we are probably seeing that we something we can talk it about probably through the better part of the year.
Walter Turner: And you look back to the first quarter last year, it really was a robust quarter for us, the white ties were early available, we didn’t have the same issues that we had and so we were just, it’s just sort of that it felt throughout the year that way and there is some balancing going on.
Chris Shaw: You have no insight as to why they built inventory, like it was just done on their parts I guess, I mean I don’t one, we shouldn’t say that but, customers.
Walter Turner: They are very smart they buy from us. But you have to understand as we said that we are supplying a very large market of this year of this business. When you look at especially the Class I and you look at the long-term contracts we are having this is still a very strong core business for Koppers. So, a little bit of a seasonal blip here in the first quarter but it is nothing obviously -- we like to have the increasing volumes but as Brian keeps saying. This is an annual business that we look at and nothing concerning.
Chris Shaw: Quickly one on pitch when the placing comes up, I guess in third quarter, what is the benchmarks for the price increases on for carbon pitch?
Brian McCurrie: Well I think the primary -- I mean, although it is cost base, the primary driver is going to be the cost of the raw material, the coal tar. The third quarter price adjustment is one that has a six-month delay in it so what it’s going to reflect is the increase in the raw material costs that we’ve seen here in the first part of the year.
Chris Shaw: Okay great, thanks guys.
Operator: Your next question comes from Saul Ludwig with KeyBanc.
Saul Ludwig: Good quarter. In the carbon materials you must have had a pretty good increase in your gross profit margin even given the absence of price recovery and pitch. What is that, how much was your gross margin and how that compared first quarter and carbon materials and that should we think that improvement should even get better in the third and fourth quarters as a new pricing and pitch kicks in?
Walter Turner: We are looking for that number, Saul. But it is number one, I think you also have -- it’s not just carbon pitch but a very strong chemicals business as well from the phthalic anhydride and especially the carbon black feedstocks which are really based on the oil index. So, some good pricing on that as well, you really have to look at it basically on this total coal tar that we distill, the end markets for that total coal tar product line is very strong, whether it is carbon pitch or carbon black feedstocks or naphthalene or the phthalic anhydride.
Brian McCurrie: I mean the margins did move up pretty substantially, Saul, in that business you are right. And I do think, as Walt said, I think.
Saul Ludwig : Were they up 200 to 300 basis points sir?
Brian McCurrie: I think they are up to 8 almost 11.
Saul Ludwig: 11 you are talking about gross margin.
Brian McCurrie: I mean operating profit.
Saul Ludwig: Operating profit was okay it was 11%. I was asking about the gross margin probably was the gross margin that drove the operating margin of not the expense side of the equation?
Brian McCurrie: That’s correct.
Saul Ludwig: I really, I appreciate fully when you said that you early here in the only one-third of the way through the second quarter and there is uncertainty about the timing of how things are going to play out on a seasonal basis, but last year, we just about this time, you would have that same level of uncertainty if you will. Yes, you did have a substantial increase in your guidance that you were comfortable in making last year as the first quarter conference call for the balance of the year. What is it that you are seeing in April and early May that was giving you this cause for caution, because from a seasonal standpoint, we are so different issue than last year?
Brian McCurrie: I don’t think you are hearing an undertone from us that we are positive about the business and the fundamentals of the business are still very strong. I think you are more seeing us wanting to give more accurate guidance. There are some things moving around this year, price of oil, foreign exchange, particularly how that, may change later in the year that could have some impact on our guidance. So, I think all of which you are hearing from us is may be just a little bit more conservatism and that one would come up with something that we need to change more dramatically in the second quarter.
Saul Ludwig: What I am trying to understand is what is giving rise what is that you have seen in April lets say that is giving rise to that conservatism, this year that didn’t give rise to the same conservatism last year?
Walter Turner: Saul, as we’ve mentioned, about 40% of our revenues are offshore and we feel very good about that, as well as the other 60% that are basically here in North America, but again I would like to have another month or two just to feel a more comfortable about what’s going on here with the US economy.
Brian McCurrie: And I think the FX and oil Saul, is much bigger this year.
Saul Ludwig: FX is a positive right?
Brian McCurrie: Positive right.
Saul Ludwig: So that’s even getting better, and oil of course is rising, but you have these contracts that allow for you are so fortunate, I may really that your companies you have these contracts that allow for the pass through?
Walter Turner: Right, and then they are requirement contracts and then again, pretty positive but just another month or two we would make a sort of little more still more comfortable about what’s going on.
Saul Ludwig: Okay, so we should look to here from you sometimes in the end of June.
Walter Turner: That’s right.
Saul Ludwig: Okay great, thank you very much.
Operator: (Operator Instructions). Your next question comes from Daniel Rizzo with Sidoti & Co.
Daniel Rizzo: I noticed you had a press release a couple months ago about some railroad ties to a mining company in Africa. Is that an area that there is room for more growth?
Walter Turner: Really, I think there is, and we are following a few potential projects. When you look at the bauxite requirements that are going to grow for the aluminum industry and you look which is we’re saying is about an 8% annualized increase, and you look at the annual requirements of this growing steel industry around the world, which I think is projected to grow around 7% annually. So there is going to be more emphasis on looking at bauxite mines, iron ore mines, and with that will come logistics and railroads to haul the material. So, yes, it is a positive potential market down the road.
Daniel Rizzo: Okay. And you mentioned that you are sourcing something raw materials I guess you said in Russia, Are those like long-term contracts? Is that like a spot price? How does that work?
Walter Turner: In the past, going back a few years ago, it was sort of a spot. But we’ve made some nice inroads in Russia with long-term contracts, and more recently signed a three-year contract on coal tar coming out of Poland. So we’ve been taking raw material out of Russia for quite some time. In fact, we are in the midst of actually improving logistics on that coal tar from Russia, which most of it ends up in our Danish operation by entering into a long-term contract with a port facility in the Baltics in Latvia, which would even further streamline our movements there.
Daniel Rizzo: Have you ever experienced a point where the Russians are being maybe a little bit more unfavorable than they originally were? Just thinking along the lines of some things they’ve done in other industries, has that ever happened to you guys?
Walter Turner: I think we’ve got some very good relationships with three of the steel companies in Russia, working with them not only on taking raw material out, but also looking at opportunities to do more there.
Daniel Rizzo: Okay. Alright thanks guys.
Brian McCurrie: We really haven’t seen volatility in that. It has been pretty still, and I think the long-term relationships we have had have helped.
Daniel Rizzo: Okay, thank you.
Operator: Your next question comes from Steve Schwartz with FirstAnalysis.
Steve Schwartz: Good morning guys.
Walter Turner: Good morning Steve.
Steve Schwartz: You know if you could help me out with the on the railroad part of the business in the Class I tell me where I am wrong here? If they are drawing down the treated tie inventories, they are not ordering white ties, but they are going to come through an order white ties in the second half of the year like the third quarter. I see one of two things happening. Either your treated volumes are going to be low for the year or you are going to get a surge of treated business in the second half of the year, vulcanizing [ph] and all that, and its high-margin business. So, I see kind of a basement scenario or a through the roof scenario here?
Brian McCurrie: Steve, I don’t think there is a basement scenario here.
Steve Schwartz: Okay.
Brian McCurrie: I think depending if the railroads would come back and choose to accelerate the cycle time and sort of bypass the air seasoning process, you are right, it would lead to higher margin business.
Walter Turner: It’s a little bit of a sort of a delicate balancing, as you recall white ties, you can’t extend that the air drawing that much, you got to treat them, Also, if they find ourselves in a situation they need more treated ties than what the air drying cycles are giving us, well, as you said, vulcanizing is a very quick way to get that online. So whichever direction, we are there to maintain those volumes required for the tie insertions.
Steve Schwartz: Do you agree that they are creating a dangerous gap here by not at least loading the channel with white ties at this point?
Walter Turner: I don’t think so, I really don’t, particularly not in the first quarter, because it wouldn’t be abnormal because of just the availability the ties themselves.
Brian McCurrie: If there was a quarter to do it, this is probably a good one for them.
Steve Schwartz: Okay, and then over the past couple of quarters, you have seen some nice growth in your pitch volumes, and just looking at the Just looking at the Iceland smelter, I think they finished up at 90% utilization by the end of the first quarter, and they only averaged 70% for the quarter. So, it looks like the majority of that ramp-up came in the first quarter. How much of this 5% volume growth is related just to the start-up?
Walter Turner: Well it’s a little bit of difficult question to answer Steve, in this as you may recall the annual production for Iceland is in Norway, The Mosjoen operation that manufactures the anodes manufactures for other smelters as well. So, it is difficult to break out our sales into that plant as far as how many exactly are going to Iceland versus other smelters in Norway. But for sure, the project is up and running and we are obviously taking advantage of that opportunity now.
Steve Schwartz: Okay, so you see sustainability in like this 5% volume growth number?
Walter Turner: Yes.
Steve Schwartz: Yeah.
Walter Turner: I think you will see sort of step improvement and you say with Iceland and your questions, is the right question that you are going to see step up in volume as new facilities come online and we start to shift up them and I think our next step up is going to be with when you see the middle eastern plants come online.
Steve Schwartz: Okay, and then regarding the coal tar pricing, you know we’ve talked in the past about the BTU value influencing coal tar pricing. I think this is one of the first times I have heard about a more direct benchmark connection. Is this just in Asia or does it supplies to your global contract?
Brian McCurrie: No, the benchmark is pricing of distillates outside of North America, the piece of our production that goes into the carbon black industry is priced off of a plat’s oil derivative.
Steve Schwartz: And that’s been understood.
Brian McCurrie: That it about the pitched customers, it is just the oil coal tar in the round.
Steve Schwartz: Okay. So then, you know we are hearing about the shortage in global coal supplies and of course such driving up the price of coal so how much of that carries through into the tar side?
Brian McCurrie: There is not really a link between the coal and the tar. And more of the discussion I think when you get to negotiations is around the BTU value of the coal tar.
Steve Schwartz: Okay.
Brian McCurrie: Not the price of coal.
Steve Schwartz: Okay, and then just the last one this is quick, tax credits, did you use any in the quarter?
Brian McCurrie: Well, we are recognizing them ratably across the year so the $5 million of credits or so that we get are roughly split 25% first quarter.
Steve Schwartz: So 1.25 we will call it?
Brian McCurrie: About say it 1.1.
Steve Schwartz : 1.1, okay great thanks guys.
Brian McCurrie: Thank you.
Operator: Your next question comes from [Sam Epifania] with Columbia Management.
Sam Epifania: Good quarter. I have a question regarding your Africa expansion plan if I can call it that way. If you can give some details on the country and what other sort of the mitigation on the political risk if this is a hot area?
Brian McCurrie: When we call it export, let me just maybe explain it at little bit, we are actually transferring title to the product in the United States. So, the purchaser in this case, it is the large steel company, is actually taking title to the product in the United States. They are responsible for shipping, they are responsible for clearing it into the country, they are responsible for getting it to the location. They are actually paying us as it leaves the US.
Sam Epifania: Okay. It’s an export order but it is not -- we don’t have the responsibility on the delivery side? And in terms of growth -- I think somebody mentioned, already asked that question but just to clarify so you see potential additional sort of mining projects in Africa that you could have similar sort of contract?
Walter Turner: Obviously, we are aware of certain projects on paper perhaps that we are following. Again, I mean personally when you look at the iron ore demand, and bauxite demand increasing, there have to be more mining operations, more locations being looked at so we are sort of following that at the moment as far as potential opportunities for the future.
Operator: (Operator Instructions). Your next question comes from Steve Schwartz with FirstAnalysis.
Steve Schwartz: Just one follow up in this touch is on something that Saul had brought up earlier, but what was your SG&A in the railroad and utility products of the 16.8? Because you mentioned that you shifted or reallocated some SG&A into that segment?
Walter Turner: I think one of the we had an increase in legal spending associated with some court cases down in Somerville Texas that are related to a wood treating plant.
Steve Schwartz: Okay, will those be considered one time do we want to consider those as special item?
Brian McCurrie: Well we don’t characterize our legal expenses as special items. So I think, we invest fair amount of money and depending ourselves in our legal cases, so I would prefer you are not calling those thing special, although, they do fluctuate…
Walter Turner: (Inaudible)
Steve Schwartz: So what was that SG&A number for the segment?
Walter Turner: I think the total impact on margin was about 1.4% total SG&A.
Steve Schwartz: And not just for the specials, but the total SG&A number if you could please? For railroad?
Walter Turner: For railroad? About $6.3 million, the prior year was about $6.3 million. In the prior it was about $4.7 million.
Steve Schwartz: Okay, so that would in fact you know, as percent of sales than your SG&A the sales in CM&C dropped almost 100 basis points. So, there was an improvement there in your cost?
Walter Turner: Generally across the company SG&A does not grow as a percent of our top line. You probably saw more of that fall through in the Carbon Materials & Chemicals business than you did in the Railroad & Utility Products business.
Steve Schwartz: Yeah, that’s certainly a nice improvement because it has been consistently coming down by big chunks over the past couple of years. Okay that’s great good information thank you.
Operator: You next question comes from Michael Ainge with TIAA-CREF.
Michael Ainge: Okay. I’m not sure if you already covered this. I had to drop off the call for a couple of minutes. Have you given any thought to refinancing any of your current public bonds outstanding?
Brian McCurrie: That’s actually a good question. I mean we have the senior secured notes that are callable in I think of September of this year and then the tech notes are callable the following year following September, October timeframe. We are watching that both at 10 and almost 9 to 7, 8, almost 10% in interest. And the market is fairly viable right now so I don’t know that we have an opportunity today. But it certainly is an opportunity for us to look for certainly the leverage of the company has come down substantially and you can look at our sort of our debt structure, we are going to be running out of bank debt that fairly quickly. So, it is an opportunity to optimize our capital structure.
Micheal Ainge : Do you think that is something you would definitely wait until bonds become callable or would you think you would go after them more aggressively than that potentially?
Brian McCurrie: I think that really depends on the market.
Micheal Ainge : Fair enough.
Operator: You next question comes from David Woodyatt with Keeley.
Walter Turner: Good morning. Hello.
Operator: (Operator Instructions). At this time, there are no further questions you may continue with your presentation or closing remarks.
Walter Turner - President and Chief Executive Officer: Thank you, operator. Brian and I both thank you very much for participating in today’s call and appreciate your continued interest in our company. I believe that we continue to be well positioned for a strong 2008 and beyond. You must remember diversity is the key for Koppers. Diversity in our major products, our end markets and our geographical locations around the world, we see continued strong demand in our end markets, particularly based on the committed aluminum capacity additions coming on line in 2009. We are very well positioned given capacity additions underway in China. Our balance sheet can easily support not only these editions, but also other potential opportunities to stimulate growth and create shareholder value. And finally we remain firmly committed to enhancing our shareholder value by executing our strategy and providing our customers with a highest quality of products and services while continuing to focus on our safety, health and environmental issues. And we started to look forward to speaking to you again some. Thank you.
Operator: This concludes today’s conference call you may now disconnect.